Operator: Good day, everyone, and welcome to today's Singing Machine's Second Quarter Earnings Call. [Operator Instructions]. It is now my pleasure to turn the conference over to Brendan Hopkins. Please go ahead.
Brendan Hopkins: Thank you, and thank you, everyone, for taking the time to join us today. We have a brief safe harbor and then we'll get started. Except for historical information contained herein, the statements in this conference call are forward-looking statements that are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties that may cause our actual results in future periods to differ materially from forecasted results. With that said, I'd like to turn the call over to Gary Atkinson, CEO of Singing Machine.
Gary Atkinson: Thank you, Brendan. My name is Gary Atkinson. I am the company's CEO. Joined with me this afternoon is also Lionel Marquis, Company CFO; and Bernardo Melo, company's Chief Revenue Officer. I want to start off by just thanking everybody for taking the time today to listen in and learn more about our second quarter earnings report. We are very pleased to share these results. We believe that our second quarter demonstrates our resiliency in a very challenging time, and it highlights the speed and the flexibility of our team to capitalize on this very rapidly changing environment. In the past year alone, we have dealt with the lingering demand uncertainty created by the global pandemic the resulting ripple effects on supply chain, inflation, rising interest rates and worker shortages. We believe we have weathered this storm well. I'm very proud of our team's response to all of these challenges. First, we have capitalized on our competitors' weakness to expand our relationship with one of our key customers, Walmart. By moving a number of our products into the Walmart consumer electronics department, we have put our best assortment with highest margin offerings front and center in the most influential retail location for all consumer electronics sold in North America today. This has been a tremendous platform for marketing our best technology and products as well as showcasing our emerging ideas in Karaoke. As Lionel will further talk about, this decision was very timely and is a key component to our financial results. Expanding our relationship with Walmart offset sales softness in other areas due to the overall macroeconomic factors I previously mentioned. These well-signed decisions results in overall revenue growth, strong gross margin improvement and profitability. In these times, we see this as a major win for the company and for our shareholders. During the second quarter, our team also worked very quickly to convert Sam's Club from a domestic program to an FOB-China program. By converting this program to FOB-China, we avoided any supply chain uncertainty and we've improved the efficiency in which our products flow into the club stores. It also guarantees the full delivery of our entire program, which is very important today as retailers look to reduce inventory in their pipeline.  At this point, I would like to turn the call over to our Chief Financial Officer, Lionel Marquis, to provide further insight into the details of our successful second quarter. Go ahead, Lionel.
Lionel Marquis: Thank you, Gary. Good afternoon, and thanks for participating in today's earnings call. The following is a recap of key financial highlights for second quarter ended September 30, 2022. Our net sales were consistent for the 3-month period ended -- the 3-month periods ended September 30, 2022 versus 2021, with net revenues of $17.1 million compared to $17.4 million, respectively. Net sales for the 6-month period -- the 6-month period were $28.8 million versus $23.4 million, an increase of approximately $5.4 million and 23%. The increase was primarily due to an increase of approximately $6.1 million to one major customer that opted for the earlier shipment via direct import and increase their product assortment and an increase to another major customer of approximately $1.5 million due to the successful initial products set in their consumer electronics department in the prior quarter. These increases were somewhat offset by a decrease in two other top five customers who ended the prior year with excess inventories due to the prior year's late delivery.  Our gross profit increased to $3.9 million compared to $3.3 million for the 3-month period ended September 30, 2022 versus 2021, an increase of approximately $600,000, primarily due to an increase in gross profit margin from 19.2% to 23.2%. There was an increase in the component cost -- sorry, there was a decrease in the component cost of one major customer's promotional item, and that contributed approximately 1.8 points gross margin points, so the remaining increase due to significant cost reductions to inbound containers from China, price increases to customers, and margin contribution from new products introduced into one major customer's consumer electronics department. Our gross profit increased approximately $7.1 million compared to $4.9 million for the 6-month period ended September 30, '22 versus '21, an increase of approximately $2.2 million. The increase in net sales accounted for approximately $1.1 million or almost 50% of the increase with the remaining increase primarily due to and gross profit -- due to a gross profit increase of 24.8% from 20.9% last year. There was a decrease in the component costs, as we talked about earlier, the one major promotional item that contributed 1.6 margin points year-to-date with the remaining increase due to significant tariff reductions as the same as for the quarter, and that had to do with reductions in inbound containers from China, price increases to customers and margin contribution from new products introduced to the major customers' consumer electronics department. Let's talk about operating expenses. Operating expenses increased to approximately $3.4 million for the 3-month period ended September 30, 2022, as compared to approximately $2.6 million for the 3-month period ended September 30, 2021. The increase of approximately $800,000 in operating expenses for the quarter were primarily due to the following: we had increases in selling expenses of approximately $200,000, primarily due to incremental royalty commission and discretionary marketing expenses. We also had onetime costs of approximately $300,000 relating to our public offerings, NASDAQ uplisting, regulatory filings, change of control, which included increases in legal fees, professional fees, stock transfer fees and investor relations fees. In addition, we had an increase in compensation expense of approximately $200,000, primarily due to common stock and stock option grants issued to existing new Board members, officers and employees. We also had the effects of inflation, especially in our logistics area. We had inflationary warehouse distribution costs of approximately $100,000, and that included increases in pallets and temporary labor costs and in supplies.  So let's talk about operating expenses on the year-to-date level. Operating expenses increased to approximately $6.4 million for the 6-month period ended September 30, 2022, compared to approximately $4.6 million for the 6-month period ended September 30, 2021. The increase of approximately $1.8 million in operating expenses were primarily due to the following: we had increases in selling expenses of approximately $200,000 and is primarily due to royalty commission discretionary marketing expenses. Onetime costs, as we discussed early have approximately $400,000 year-to-date relating to our public offering, NASDAQ uplisting, regulatory filing, change in control, and this had to do with legal fees and professional fees, stock transfer fees and investor relation fees are related to this project. We had an increase in compensation expense of approximately $400,000 year-to-date and again due to common stock, stock option grants issued to existing new board members, officers, employees as well as incentive payments to offices and merit-pay increases. The logistics area also had some inflationary warehouse distribution costs, especially in the area of pallets, temporary labor cost of supplies. That was approximately $400 million -- $400,000. We also had onetime costs of approximately $200,000 relating to IT projects and product firmware update with the remaining increase due to variable expenses that have increased due to inflation. As a result of these activities, we recognized income from operations during the 3-month period ended September 30, 2022, of approximately $584,000 compared to income from operations of approximately $750,000 for the 3-month period ended September 30, 2021, representing a decrease of approximately $165,000. Income from operations for the 6-month period ended September 30, 2022, versus 2021 were approximately $731,000 and 260,000, respectively, representing an increase of approximately $471,000. We recognized net income of approximately $296,000 for the 3-month period ended September 30, 2022, compared to net income of $692,000 for the 3-month period ended September 30, 2021. But it should be noted that during the second quarter of the prior year, we had the benefit of $236,000 in onetime gains from the settlement of accounts payable with one of our factories with no similar gains during our first quarter ended September 30, 2022. We recognized net income of approximately $280,000 for the 6-month period ended September 30, 2022, compared to net income of $574,000 for the 6-month period ended September 30, 2021. And again, it should be noted that during the 6-month period, the prior year, we had the benefit of $236,000 in onetime gains from the settlement of that accounts payable with one of our factories of approximately $236,000 and also from the forgiveness of the payroll protection plan loan of approximately $448,000, with no similar gains during our first quarter ended September 30, 2022. In May of 2022, we successfully completed an equity raise of $4 million -- approximately $4 million, concurrently with an uplisting of our common stock from the OTCBB to NASDAQ. We received net proceeds of $3.4 million, along with borrowings on our inventory line of credit of $2.5 million, allowing us to finance excess inventory from the fiscal year -- prior fiscal year due to global logistics issues as well as strengthen our cash position at that side. On October 14, just recently, we entered into a new credit agreement with Fifth Third Bank as the lender, replacing our current facilities with -- or our existing facilities at the time with Crestmark Bank and Iron Horse, they were terminated by the company on October 13, 2022. The credit agreement provides for a 3-year secured revolving credit facility in an aggregate principal amount of $15 million, decreasing to $7.5 million during the period January 1 through July 31 of each year, which is our nonpeak season. The credit agreement is a 3-year agreement matures on October 14, 2025. The revolving credit facility bears interest at the prime rate plus 0.5% or the 30-day secured [indiscernible] financing rate of the -- or what they call SOFR, S-O-F-R, at plus 3%. So to summarize what we did with the banking deal is we obtained financing with a after significant scrutiny during the due diligence process. And we still -- the bank was still very anxious to close a deal. We increased our access to capital during peak season by $2.5 million over the prior facility that we have with Crestmark and Iron Horse. We also are able to combine our financing of both our accounts receivable inventory under one combined credit facility, okay? And also, we lowered our interest rate to approximately 1/2 the rate that we were paying on the prior agreement, which will result in significant interest savings going forward. So overall, we've made significant improvements in gross profit margins during the 6-month period compared to the same period last year, and we've managed to keep selling expenses commensurate with increase in net sales. We have, however, encountered significant onetime general and administrative expenses during this fiscal year. With regard to legal, professional and other expenses associated with equity events that have occurred during the fiscal year. And of course, we have the inflation to deal with, and we're going to continue to address the inflation issues going forward.  That's my report of the highlights. Thank you for listening, a little bit lengthy today, but there was a lot to go over. I'd like to now turn the call over to Bernardo, who will further discuss recent developments [indiscernible] Bernardo?
Bernardo Melo: Yes. Thank you, Lionel. I'll keep it short because I do want to get to Q&A, give you guys time to ask some questions. I'm just going to echo what Gary and Lionel already said. 2023 for us, our major focus was to introduce new technology into our key retailers or expand on the technology that we introduced isolate to continue to position Singing Machine as the leader in the home karaoke, I know we take that proud, and we need to always execute the performance of our products to make sure that we maintain that tag line. So we did that well. We were able to introduce those products to our key retailers this year that had the appetite for them and have this taste. So we went into different departments in one of our key retailers and expanded on those technologies into three of our other key retailers as well. We had some good product launches. We've seen some good results so far. And I would like to thank those product launches to maintaining our sales so far this year comparable to what it was last year. But otherwise, it would have been a little bit [indiscernible]. And yes, we're positioned well moving forward out, be on the lookout for some key promos across the retail landscape. You're going to see some 2-day ads in target. You're going to see Black Friday then and in Walmart, you're going to see some key VIP events at Sam's Club and Costco is going to be running a nice promo with Frank in the month of December. So we think that we've seen tougher years before in the past from a consumer and a retail standpoint. And the one thing that we've seen is parents are still -- our consumers are still going to go out and buy gift, and we wanted to make sure that we were positioned right for that. So that so we preemptively put some key promos out that would help promote the line and the brand accordingly also with Amazon as well. We've now stabilized our distribution partnership and our marketing, the U.K. and Canada. So we're well positioned going into fiscal year 2024 with those partnerships well established. And Australia continues to grow. So yes, so we feel confident that if the consumer is out there and is looking for Karaoke that Singing Machine is best positioned in the marketplace, not only with the technology but with a good promo schedule and send good coverage on the shelf base and e-commerce as well. So with that being said, I want to turn the call over because I know we're running low on time. I'll turn it back over to [indiscernible].
Unidentified Company Representative: All right. Thank you, Bernardo. Thanks for the update on that. And I do want to make sure we save time for Q&A. But just before we do that, I just wanted to touch on a couple of other key nonfinancial milestones that I wanted to mention. So first, the big thing I want to say is that we have maintained and we have secured all of our key relationships and shelf listings with all of our major customers. So that's big news with all of the news that's been floating around recently at retail and the sort of conservative nature that we're seeing. This is a big win for us to continue to protect and to preserve our shelf space with these key retail accounts. That's a big win. Also in times of the holidays, we've revamped our Karaoke app that's available for Android and for the Apple phones. It now includes official album cover or -- and we do continue to grow the size of our Karaoke music catalog now over 70,000, some of the best, most popular Karaoke songs available today. And we are continuing to see more activity. There's more downloads. There's more users that are coming aboard the this year, especially since we've introduced more of the casting products with Walmart Electronics this year.  And we're starting to see music revenue is becoming more meaningful now to EBITDA. We've seen over a 20% increase year-over-year in not only app downloads, but also music subscription revenue. And we do anticipate that this trend will continue on through the holidays. And then finally, just a bit of thinking in terms of how we're looking at the business for 2023 and beyond. Obviously, for many years, we've enjoyed a strong position as being the leader in the home karaoke category. So we've become the leader in this space through our brand, our innovation, our product portfolio is probably best in class. But one of the things that we've been looking at and studying is that, obviously, people aren't just limited to singing at home, right? There's a lot of other places where consumers engage in Karaoke. And so we do believe there's a number of exciting emerging opportunities, and we believe that we are -- or that we can position ourselves to be the dominant brand for Karaoke not only in the home, but soon also outside of the home.  So as a team, we're very focused on expanding into additional Karaoke markets, not only to enhance our value from a revenue perspective but also profitability. And we look forward to providing everyone here with an update on these efforts as we move forward in the next coming months. So I'll wrap it up with that. And at this point, we can turn it over to Q&A.
Operator: [Operator Instructions]. And we'll take our first question from [indiscernible].
Unidentified Analyst: Hello, Singing Machine. I have two questions for you. How is the shipments going for fiscal Q3? I know we're about halfway done now.
Unidentified Company Representative: All of our direct port shipments are pretty much done already and in the bar for Q3. In terms of the domestic ones that they are lagging a little bit behind, more than normal, and that's just -- retail is just paying the risk adverse game right now, they're trading off empty shell for now being overloaded with inventory the way they were towards the end of last year. So we've been pushing hard to get in there. We do have products in stores, but that overload of products that existed in the past, they're being a lot more careful with that moving forward.
Unidentified Analyst: Okay. And secondly, do you anticipate any significant programs going forward with Best Buy.
Bernardo Melo: So Best Buy is one of those tough retailers, they sort of have categorized Karaoke, like they have musical instruments, and they have a [indiscernible] for that. I think the way that we're addressing it by going towards the dot-com. And as you can see now, we just uploaded our whole new section of product from dot-com. And just this week alone we start to see sales on those new products. But I think the long-term strategy was that why that we're looking at, and I don't know how much of it, I could say, is more on the professional side of things where we can leverage their Geek Squad for installation and take that. I think that, that's going to be our strategy moving forward to develop a line that's more on the flow side that could then leverage their Geek Squad for installation. So I'll leave it at that. Now I don't know, Gary, is going to touch on it a little bit more there in this call or for future calls.
Operator: And we'll move next to Eric Nickerson.
Unidentified Analyst: Thanks for the good detail on the financials. You cover most of my questions there. Look at the sales were down about 1% or so from this year's quarter versus last year's. It's been a year when consumers discretionary spending has been just massively moving from goods over to services. So this tiny little drop in sales looks pretty encouraging. Am I missing something? Or are you guys tripe that pretty much the same way.
Bernardo Melo: We are giving -- go ahead.
Lionel Marquis: No. Go ahead, Bernardo. You want to get it.
Bernardo Melo: Yes. No, I want to address it. That's a great observation, Eric. And you're right, a lot of funds have gone towards service or travel or things. I think people have noticed that they go a little bit too much growth in their household. One thing that we did is we did expand into different departments within a couple of the major retailers, and that has to help offset some of the softer sales in the previous department. The good thing -- the encouraging thing that we have seen that although that some of discretionary have moved to other places, is that especially like Walmart TE and in Costco, or higher price points are doing well. So they're helping upset some of those some other softer scales. But you are right, it is a challenging year. We just have a little bit more distribution and some of the higher price points have performed well as well.
Unidentified Analyst: That's pretty cool. So we'll start to see [indiscernible] there, Gary?
Gary Atkinson: Yes. I just wanted to add to your first question, Eric. The other thing that I want to touch on is we've kind of done the hard work already, right? So we've done all the heavy lifting to secure the shelf space to retail to build the inventory to sort of get it shipped and bypass all of these supply chain struggles. So we've done all the hard work to get our karaoke machines into almost every single major big box retailer throughout North America. And I think the big unknown now is, like you said, how are the consumers going to react come the holiday season. And I think that's -- that's still...
Unidentified Analyst: Rumors are heard.
Gary Atkinson: Industry at this point. Yes.
Unidentified Analyst: I guess we'll see. Okay. Just we're going to start to see a pretty good drop in interest expense line, aren't we starting, I guess, in the current quarter going forward?
Lionel Marquis: We'll start -- that's correct. We'll see a significant interest drive. One of the other advantages and I didn't talk about it before this line of credit in minimum interest rate. So and with these whether I borrowed on the line on my previous lines or not. For inventory, I had to take a 15.5% APR on $1 million. Regardless of whether I had a balance in that inventory. And also on the accounts receivable, I had to pay approximately [indiscernible] I was paying approximately 8.5% for most of the time until recently when the prime rates started going up, now we're close to 14%, 14.5%. But I have to pay a minimum of on as if we're borrowing $2 million each month. So both of those -- that doesn't -- that no longer exist with the new line, if I don't borrow...
Unidentified Analyst: What you just described is -- I'm sorry, what you just described is the old deal that's been replaced? Or that's in the new deal with Fifth Third?
Lionel Marquis: No, that's in the old deal that's being replaced. Those were all minimums that I had to cover before. So on top of the interest rate drop, which we'll see significant loss interest also, we won't have that minimum to cover every month as well. So it's a 2-edged sword and it's a pretty good -- it's a good deal.
Unidentified Analyst: Okay. Just a couple of more boring questions. And we've got a bunch of options and warrants outstanding. I got $0.5 million or so of them. Can I see a detail of those exploration dates and exercise prices in the 10-Q or after wait until the 10-K comes out? Where can I see that?
Lionel Marquis: There's -- there'll be a section in the 10-Q. You'll see what's left outstanding and what the weighted average price is...
Unidentified Analyst: In the 10-Q. Okay.
Lionel Marquis: Yes. In 10-Q.
Unidentified Analyst: Okay. I noticed in the trading in our stock, our major shareholder is buying up the stock in numerous little bits and pieces, which leaves me to suspect that a number of shareholders in the company might be steadily dropping, which leads me to ask if you had any conversations with a majority holder about going private?
Gary Atkinson: I mean to touch on that, Eric, I mean, we just recently uplifted under the NASDAQ just a few months ago. So I don't think there's -- we've certainly invested a lot of time and energy to get to where we are now. So I wouldn't say that there's any conversation right now in terms of going private.
Unidentified Analyst: It's not something you've even talked about within that right?
Gary Atkinson: Correct.
Unidentified Analyst: Okay. Good. Okay, that's all I had. Thanks very much. Good report guys, very informative.
Operator: And we'll move next to Joel Marcus.
Unidentified Analyst: Yes. Congratulations on what I think is an excellent quarter despite various extraneous obstacles. My question is, I'd just like to sort of read into it as follows. I know this company has always had its eye on the long term. The move to NASDAQ, obviously, wasn't further into that, even though all the transactions that have enabled you to be on NASDAQ, I mean, have resulted in the stock being down about 60% from where it was. And certainly, right now, this company is trading at a price where there is scanned enterprise value attributed to it. But I really believe that you guys have your eye on a much, much bigger future in the long term and that everything you've done up until now will be proven to be correct.  So could you just go a little bit more into your future vision for this company? Do you intend to expand vertically with the products using it in more places, maybe expanding horizontally into other consumer-related appliances, music distribution, et cetera. So obviously, all of us would love to have -- I know the suffering will be worth it. But basically, can you give us a little bit of a more detailed and clearer picture of what your aims are for this company long term.
Gary Atkinson: Sure. Yes. Joel, that's a very good question. And I'll tell you it's something we've been spending a lot of time and energy on recently thinking about and starting to put action plans together to start executing on this. But the way we look at Karaoke as a worldwide category, we believe that the market is in excess of $1 billion a year. And obviously, right now, we're playing in a smaller sandbox, which is to say we're the leader in the in-home Karaoke devices category. And so we start thinking about, well, where are people doing Karaoke and we sort of -- we're thinking about it in the sense that there's really 3 or 4 different verticals in terms of where our people having Karaoke experiences in. And obviously, the first place is right, people are singing in their homes. And for that market, we already have products and services for the people that are staying at home. The second category that we're looking at is the automotive space. We're seeing a lot of people that are seeing in their car. And obviously, through our Carpool Karaoke product line, we sort of touch on that. But we also think there's a much bigger opportunity that's available in the automotive space.  And it really started with Tesla. Last year, they announced that they were launching a Karaoke microphone that would be integrated into the Tesla vehicles. And that's set off a, what I would say, a lot of interest from other major automotive brands to sort of look at that space. When Tesla does something, a lot of people take notice. And so we're seeing a lot of inquiries into the automotive Karaoke category. And it's something that we'll be talking about a lot more as we move forward. Then there's also this third category of people doing Karaoke outside the home, and it's a face-to-face sort of brick-and-mortar Karaoke-venue experience. And that's an area where there really hasn't been any innovation in that experience in, I'd say, well over 40 years. So it's an area that we're very, very interested in. We spent a lot of time doing research and studying that particular market because it's ripe for disruption. And there's really nobody else in the U.S. that's really looking at or thinking about that market for Karaoke, and it's something that we are very, very interested in. So I would say over the coming sort of 12 months to 24 months, you're going to see us making a lot of progress in a lot of the news and announcements in those different verticals that I just outlined.
Unidentified Analyst: Thank you. That sounds really great. Also, I guess, one follow-up question. I always saw this company, and I'm dating myself by saying this, as the razor and blade type of company where basically, once you end the product to somebody, you also have the blades that go into this, namely the music, the music libraries you envision your vending of music or perhaps maybe even advertising, sponsors because you've got that huge screen there. And obviously, you could certainly accommodate advertisers, et cetera. But I mean, can we look forward to seeing this company have continuing revenues as an ancillary of the product, namely music, advertising, the Stingray aspect of it. So could you just give us a little bit of color and flavor on where you're going with that?
Gary Atkinson: Yes. No, for sure. I mean the music side of the business does continue to grow year-over-year-over-year. Anecdotally, it's growing probably a slower rate than I think what we would have all expected. And it seems to be directly correlated to the number of Karaoke devices that we put into the market. So it would make sense that the more Karaoke machines we sell, the more potential customers we have through those machines that are then sort of signing up and looking for music.  And we saw that with Walmart Electronics this year. We put a whole brand-new line of casting Karaoke machines into Walmart Electronics. And like I mentioned earlier in the introduction, we are seeing now a 20 -- somewhere between 20% to 25% increase year-over-year in not only the number of downloads of the app, but also the revenue coming through the app. So it is growing, but it probably will take a longer period of time before that really becomes, I would say, sort of a material or significant overall revenue number since we're -- it is very hardware dependent. Like you said, it's razor, razor blade. So you need to sell the razors to get the blades. But no, it is a very -- it's a very attractive part of the business. The margins are great. There's no inventory to carry. So there's a lot of opportunities there in the music space as well to continue to grow it.
Unidentified Analyst: Well, thank you so much,. I think you guys are great. I mean I even in being involved in this so. I will continue to be involved. I think long term, this is one of the 5 or 10 best companies that people have access to in the public markets these days. So I think your future is unlimited, and I will continue to be involved or continue to add to position. And I think you guys are absolutely brilliant. And I think in the long term, this is going to be a huge home run for everybody who has the patient and the wisdom to be in there with you and hang in there with you and view this as a long-term investment.
Gary Atkinson: I appreciate that, Joel. Thank you. Thanks for the vote of confidence.
Operator: And it does appear there are no further questions at this time.
Gary Atkinson: Okay. Great. Well, again, I thank everybody for participating in today's second quarter earnings report. I definitely appreciate the spirit of good questions that were asked. And we look forward to talking again in a few months on our third quarter report. So thanks. That's all for now. We'll talk soon.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful evening.